Lars Solstad: Good morning, and welcome to the Presentation Fourth Quarter and Full Year 2025 from Solstad Offshore. This presentation will be held by CFO, Kjetil Ramstad; and myself, Lars Peder Solstad, CEO of the company. There will be a Q&A session after the presentation. [Operator Instructions] We take a quick look at the disclaimer before we move on to the business update for the quarter and for the full year. And the adjusted EBITDA for the year came in better than we guided in October 2025, mainly due to improved results from Solstad Maritime. Operationally, we had a lower utilization and EBITDA in fourth quarter than you have seen in previous quarters. And this is due to two vessels being between contracts. And that is the Normand Tonjer, which is -- came off a contract in early October, has been doing some upgrades and are preparing now for a contract that starts next week that we announced recently, and that will secure utilization for the vessel up till the end of 2026. And that contract is, as we have announced in Asia Pacific. So -- and a good improvement will be seen there on the utilization side from mid-February and onwards. The other vessel is the Normand Topazio. That came off a contract with -- in Brazil in early fourth quarter. We have done some upgrades and some class work on the vessel, and then the vessel will start on its new 4-year contract with Petrobras at the end of March. So utilization-wise, you will -- and EBITDA-wise starts to contribute from second quarter '26 and onwards. But as I said, those two vessels are the reason for the lower utilization in fourth quarter. We have -- also from Solstad Maritime side, we have -- there are four vessels fixed to Petrobras through the Solstad Offshore setup in Brazil. So those vessels will also start on their new 4-year contracts in -- some has already started and the fourth one will start very, very soon. We have, in general, experienced an increase in demand for our services in the last 4 to 5 months. And this seems to continue also into 2026. This goes for project-related work, but also for longer-term opportunities. And the main focus for Solstad Offshore is, of course, to secure a new contract for the large CSV Normand Maximus after the present contract which is expiring by the end of this year. And it's good to see that there is a firm interest already now, and we are quite confident to secure further work well ahead of present contract expires. Also, for your information and also to keep in mind that the vessel will have its main class renewed either at the end of this year or at the beginning of 2027. Looking at some of the numbers, utilization in fourth quarter, for reasons already explained, was lower than the previous quarters and also the year before. This also affected the adjusted EBITDA. This having said, we deliver within the original EBITDA guidance range of USD 120 million to USD 150 million for the year both operationally and financially. And that is also thanks to a solid contribution from -- in fourth quarter from the ownership in Solstad Maritime. The order intake has been solid in fourth quarter with two contracts signed in Brazil. And for the year and including the Solstad Maritime vessels with Petrobras, the contract value signed in 2025 was more than USD 700 million. Solstad Offshore will receive about $4 million in dividend from Solstad Maritime for fourth quarter and suggest paying the same amount as dividend to Solstad Offshore shareholders for the fourth quarter meaning that $8 million has been distributed to shareholders the last 2 quarters. If we move on to the market outlook and take a look at the fourth quarter and despite a volatile oil price, we did not experience any slowdown from our clients, more the opposite. And it seems like that the record high backlog held by the subsea contractors starts to give an increased positive effect now to the shipowners. We also see that there has been a much more or much better supply-demand balance on the anchor handling side by reducing the fleet in the North Sea by mobilizing to other regions, also in combination with quite high project activity, which is then benefiting the utilization and, of course, also then the rates in the spot market in the North Sea for those who has spot exposure there. We see that -- see Brazil as still very active. From the Solstad side, we have -- and the combined fleet, Solstad Offshore, Solstad Maritime, we have about half the fleet in Brazil at the moment. Some are on long-term contracts, some are there for project-related work. But about 20 vessels from the Solstad fleet is in Brazil at the moment. And in -- if we combine the present order book that we have and the bidding activity that we see, that is strong indications of a decent year ahead for the company. Looking at the backlog, we have nearly all the capacity sold out for 2026, especially if we include the newly announced contract for Normand Tonjer, that is not included in the graph you have -- you see on the screen right now. So the main focus when it comes to new contracts and to building backlog is for 2027 and onwards. And as I already mentioned, the Normand Maximus is presently uncommitted after year-end '26 and a new contract for that vessel will have a massive impact on the 2027 and beyond backlog. We are working on it, and we see some interesting opportunities for longer-term work for the vessel from '27 and onwards. For the three Brazilian-owned anchor handlers, they are all fixed on long-term contracts now, all on healthy rates, and they will contribute significantly to the company earnings in the coming years, as also shown on the graph to the left. And if we take a look at the backlog to the -- or the graph to the right, you see that we have the -- quarter-by-quarter, we have steadily increased the backlog of the company, which gives, let's say, a solid foundation for the company into '27 and also onwards. Then I leave it to you, Kjetil, to take us through the key numbers for the company.
Kjetil Ramstad: Thank you, Lars. So if we start with the financial highlights for Solstad Offshore for the fourth quarter and full year, we had in the quarter, lower utilization of the fleet of 71% compared to 91% last year. And the main driver for the lower utilization is that both Normand Tonjer and Normand Topazio was idle for majority of the quarter. For the full year, we had an overall utilization of 90% compared to 95% last year. Revenue for the fourth quarter was $70 million, up from $65 million last year. The revenue for the full year was $290 million compared to $262 million in '24. The adjusted EBITDA for the fourth quarter was $35 million compared to $44 million last year. The year-to-date 2025 adjusted EBITDA came in at $126 million compared to $132 million last year. Net result for the fourth quarter was $53 million compared to $66 million in '24. 2025 net result was $141 million compared to $118 million last year. The firm backlog of $325 million at year-end compared to $227 million last year, an increase of almost $100 million. And the figures here excludes the backlog from the vessels on bareboat from Solstad Maritime on the Brazilian contracts. Book equity at the end of the year was $425 million, up from $288 million last year, representing an equity ratio of almost 50%. The cash position at year-end was $74 million compared to $34 million last year. The adjusted net interest-bearing debt is reduced to $51 million compared to $124 million last year. This is a result of prepayment of debt in combination with increased cash position. The company will distribute approximately $4 million to its shareholders, subject to the general meeting approval. And for 2025, the company has distributed approximately $8 million to its shareholders. Then if we go and look at the debt and lease structure in Solstad Offshore, Solstad Offshore has a regular bank facility of $80 million drawn in November '24 with a 5-year amortization profile maturity in November '27. Also has $44 million financing on -- for Brazilian built vessel with BNDES, matures between 2026 and 2031. The lease commitments in Solstad Offshore includes the present value of the Normand Maximus bareboat charter, approximately $49 million, until October 27. And the present value of the purchase option of $125 million and the present value there is $107 million. Other leases of $96 million mainly consists of commitments for the Solstad Maritime vessel operate through the Solstad Offshore Brazil setup. Yes. And then we also have a graph showing the net interest-bearing debt overview as of the year-end and also the amortization overview for the two mentioned loans at the bottom. If we go to the investment in associated companies and joint venture in Solstad Offshore, we start with Solstad Maritime, where Solstad Offshore owns 27.3%. And as we see, Solstad Maritime has declared a dividend of approximately $15 million, and that means that Solstad Offshore's share of this will be $4 million -- approximately $4 million in fourth quarter. So share of result in the quarter from Solstad Maritime is $25 million and $61 million for the full year. The book value of the shares is $233 million and the market value was, the fourth quarter, around $230 million. And then we have the Normand Installer, which is a 50-50 joint venture with SBM Offshore. The vessel Normand Installer is predominantly utilized on SBM's FPSO projects. First half of the year, the vessel had low commercial utilization. And for the second half, the vessel was in dry dock in the third quarter. However, it had good utilization in fourth quarter. The financial result in the fourth quarter was negative $0.4 million and negative $2.3 million for the full year of 2025. We believe that the vessel has a good backlog and good visibility for '26. So it looks to be a strong year ahead. The net -- the company has a net cash positive position, and the book value of the shares is around $20 million. Solstad Offshore also owns 35.8% of the shares in a company called Omega Subsea with Omega 365 as the majority shareholder. Omega Subsea owns and operates 12 ROVs as of end of '25 with 12 more ROVs to be delivered in '26 and early '27. Solstad share of results in the quarter was $0.1 million and total for the year, $4.3 million. The book value of the shares in Omega Subsea was $16 million. Then if we move to the financial outlook and guidance for '26. Solstad Offshore will from '26 and onwards only provide financial guiding on operational EBITDA. This means that guidance excludes the share of results from associated companies and joint ventures, which is included in the reported adjusted EBITDA. The 2026 operational adjusted EBITDA guiding is between $50 million and $70 million. One important factor to take into consideration is that the timing of the 10-year class renewal of Normand Maximus will be in a lower range if the docking takes place late 2026 and in the higher range if it takes place early '27. As mentioned, proposed dividend payment for the fourth quarter of $0.05 per share, totaling $4 million. It's also worth mentioning that Solstad is preserving cash for the Normand Maximus purchase option to be exercised fourth quarter 2027. So then we move to the dividend dates. And as mentioned, we proposed to -- the company proposed to distribute cash dividends for the fourth quarter of $0.05 per share, totaling $4 million. The dividend will be paid in NOK, and the NOK amount will be announced prior to the payment. The key dates for the fourth quarter dividend, we need to issue summons to the EGM, will be done 16th of February, and then the EGM will be held at the 9th of March '26. And the last day right to dividend is also 9th of March. The ex-date is the 10th of March, record date 11th and then the distribution date on or about 13th of March 2026. So with that, I leave the word to you, Lars, to summarize the presentation.
Lars Solstad: Thank you, Kjetil. And as mentioned a few times already, we have had a fourth quarter that ended better than we guided back in October '25 and we ended up with an EBITDA for the year of $126 million, which is then also within the original guided range from -- that we gave early '25. And despite the weak utilization due to two out of seven vessels being between contracts, the full fourth quarter, we experienced market improvements. And this was also reflected in the order intake we had of USD 84 million in the fourth quarter. And those are on good EBITDA margins, and these are also giving increased visibility for '26 and beyond. The positive market trend we have seen has also continued into 2026 and where we already have signed an important contract for the Normand Tonjer with immediate commencement. And we see several opportunities in the market for the vessels we have with availability from 2027 and beyond. And as Kjetil said, we continue to distribute dividend to our shareholders on a quarterly basis, $4 million in total for fourth quarter. And that concludes our presentation, and we then move over to Q&As. Any questions so far, Kjetil?
Kjetil Ramstad: Yes, we have one question on Normand Maximus. Do you expect to exercise the option on Normand Maximus? And how do you plan to finance the option if it's exercised?
Lars Solstad: Yes. Well, it's -- the optional price is well in the money compared to the value of the vessel. It will be very natural that we use that option. But we -- and that has to be declared by fourth quarter this year and with effect from fourth quarter '27. And on finance, it will be a combination, if we do it, of most likely of bank debt, but also some equity. And that is also the reason why we are preserving cash in the company to contribute with the equity part of the financing of that purchase option. And of course, with the short -- at the moment, the contract we have on the vessel is expiring by the end of the year. If we manage to secure a longer-term contract on that vessel, we can also look a bit differently on how much cash we need to preserve for the equity part of the financing. So that is -- those are linked together.
Kjetil Ramstad: And a little bit same question on Maximus and Tonjer. How do you consider the market opportunities for those two vessels from '27 and onwards?
Lars Solstad: I think the -- I mean, the Maximus is a field installation vessel, a key enabler for deepwater subsea projects, one of very few in the market. And we are positive to a contract extension beyond what we see today. We have -- we have interest from clients already, and I'm not concerned about the commercial future for the vessel after its main class renewal coming up end of the year. I'm not concerned about that at all. When it comes to Tonjer, what we do now is that we are repositioning the vessel to Asia Pacific, taking on an okay contract there. The plan is to keep the vessel in that part of the world. And we see some interesting opportunities also there. So yes.
Kjetil Ramstad: Thank you. That concludes the Q&A for today.
Lars Solstad: Okay. So thanks for listening in, everyone, and have a nice day ahead. Thank you.